Operator: Good morning, and welcome to the Interpublic Group's Fourth Quarter and Full Year 2024 Conference Call. [Operator Instructions] This conference is being recorded. [Operator Instructions] I would now like to introduce Mr. Jerry Leshne, Senior Vice President of Investor Relations. Sir, you may begin.
Jerry Leshne: Good morning. Thank you for joining us. This morning, we are joined by our CEO, Philippe Krakowsky and by Ellen Johnson, our CFO. We have posted our earnings release and our slide presentation on our website, interpublic.com. We will begin with prepared remarks to be followed by Q&A. We plan to conclude before market opens at 9:30 Eastern Time. During this call, we will refer to forward-looking statements about our company. These are subject to the uncertainties and the cautionary statement that are included in our earnings release and the slide presentation. These are further detailed in our 10-K and other filings with the SEC. We will also refer to certain non-GAAP measures. We believe that these measures provide useful supplemental data that, while not a substitute for GAAP measures, allow for greater transparency in the review of our financial and operational performance. At this point, it is my pleasure to turn things over to Philippe Krakowsky.
Philippe Krakowsky: Thank you, Jerry, and thank you for joining us this morning. As usual, I'll start with a high-level view of our results in the quarter and for the full year as well as our operating outlook for the year ahead. Ellen will then add additional detail, and I'll conclude with thoughts on the compelling strategic benefits of our proposed acquisition by Omnicom. Turning to performance and beginning with revenue. Our organic revenue decrease in Q4 was 1.8%, bringing us to full year organic growth of 20 basis points. Our revenue change in the fourth quarter was largely due to the impact of the account activity over the previous 12-month period, which we had discussed with you on prior calls. Those headwinds intensified during the quarter, which was expected, but at a somewhat greater rate than we had anticipated. As a result, the full year fell shy of our forecast. While we saw the impact of those headwinds broadly across a number of disciplines and geographic regions, that was partially offset by notably strong growth in the food and beverage sector, as well as the return to solid growth in technology and telecom. As discussed on our last two calls, the underlying tone of business in the quarter did pick up from earlier in the year. It is also worth noting that we had several headline wins to close the year, including Amgen, Little Caesars and Volvo on the media front as well as Pizza Hut and the Kimberly-Clark creative consolidation, which took place in mid-January. This represents solid new business momentum, but those wins are too recent to have benefited our fourth quarter and won’t fully be online until a bit later in the year. Turning to operating expenses and profitability in the quarter. Our adjusted EBITDA margin was 24.3%. And with that performance, we delivered against the full year margin target of 16.6% that we had set at the beginning of 2024. That sustained level of profitability reflects strong operating discipline by our teams, notwithstanding a challenging year, while continuing our significant investment in talent and our technology and platform capabilities. Fourth quarter diluted earnings per share was $0.92 as reported and was $1.11 as adjusted for acquired intangibles amortization, some initial deal expenses related to our planned combination with Omnicom and the nonoperating impact of nonstrategic businesses sold or held for sale. Full year diluted earnings per share was $1.83 as reported and $2.77 as adjusted. That compares to $2.99 in 2023. As a reminder, our EPS in full year '23 included the benefit of $0.17 per share related to the resolution of routine federal income tax audits of previous years. Over the course of the year, total capital returned to shareholders, between dividends and share repurchase, was $727 million. We suspended repurchases in the fourth quarter due to the pendency of the merger and given regulatory limitations, we expect to be back in the market after our shareholder meeting. It is also worth noting that while historically we have raised our dividend per share at this time of year, as we work towards the acquisition by Omnicom, both parties contractually agreed to no increases through the pre-merger period. As you heard last week in John's remarks, the expectation is that the free cash flow of the combined companies will be very substantial, and as such, it expects to increase Omnicom's historical capital allocation for dividends and share repurchases, while also being able to invest meaningfully into the combined business to further enhance its strength in key areas, such as technology and talent. As we look ahead to 2025, of course, one very significant focus is our commitment to bringing the merger to full effectiveness. A number of our competitors are clearly concerned enough about the combination that they have spent a lot of airtime talking about our being distracted. But our frontline talent is fully focused on clients, which is obviously as it should be, and we have a small and clearly defined group here at corporate that will be working on the day-to-day activities required for a successful integration. In the meantime, IPG will, of course, continue to operate independently. So it is appropriate that we continue to share our standalone outlook with you as part of these calls. Entering the new year, we have seen that clients remain focused on the need to drive growth. And that means investing in the ongoing evolution of their businesses, especially around solutions at the intersection of media, creativity, technology and data. Yet global macroeconomic and geopolitical uncertainty, which we had seen abate in the latter part of 2024 remains; and that is showing up in a somewhat more cautious and deliberative approach to budgeting on clients in certain industry sectors. During this year, we will also continue to navigate the weight of trailing wins and losses on our top line. As we have discussed previously, we are on the wrong side of the outcome in defending a number of very significant media accounts. It is worth reminding everyone that the decisive factor on those largest decisions was Principal Media and specifically the commercial terms enabled by Principal Media at scale. In one other important account shift in the healthcare vertical, where our capabilities have led to market for many years, a competitor was able to leverage its much greater size to win a significant portion of a large creative account that we have been awarded not long prior. Looking at just the three largest of those decisions, together, they will weigh on our growth for this year by 4.5 to 5 percentage points. Factoring in that headwind and with an offset of otherwise sound underlying performance, we are, therefore, targeting an organic decrease for 2025 of 1% to 2%. We estimate that quarterly revenue phasing will be significantly more challenged in the first half of the year with a net impact of wins and losses easing in the year's second half. It is important to highlight that our proposed combination with Omnicom will position us with greatly strengthened solutions for more competitive and better client outcomes. Turning to our outlook on expenses and margin for the year. As most of you know, we have consistently challenged ourselves with respect to our opportunities to evolve the architecture of our company both for client service as well as operating efficiency. You have heard me speak before that the structural changes that we need to make to improve our growth profile, namely investing in higher growth capabilities, increasing the integration of our offerings and constantly simplifying what it means to work with us. This also applies to our ways of working and our organizational structure. With an eye on the rapid evolution of our industry and its impact on our business, over the course of the back half of last year, we undertook a wide-ranging strategic analysis that included multiple avenues to rethinking our operating structure. This strategic review has been focused on maximizing opportunities as an independent IPG, but these efforts will also clearly benefit us when it comes to the combination of our company into Omnicom. Our outlook for 2025, therefore, includes programming of restructuring over the course of the year designed to transform our business, enhance our offerings and drive significant structural expense savings. This is a blueprint for accelerating change that includes speeding our progress on strategic centralization of many corporate functions, greater offshoring and nearshoring in both corporate services and certain areas of client service delivery, with the latter centers of excellence focused on platform benefits in key areas such as production and analytics. We will also continue to improve efficiency in the operational structure at a number of our agencies as well as further improve real estate efficiencies. Specifically, we expect that our program will generate in-year savings of approximately $250 million in 2025. The associated charge should be of an equivalent amount with a significant portion being noncash. We will recognize most of those expenses in the first and second quarters, and we will call those out for you in our P&L, and we plan to provide additional details on this plan with our first quarter report in April. To be clear, though, we believe these actions have very limited overlap with a $750 million of cost synergies anticipated as part of our proposed combination with Omnicom. As you heard in some detail from John last week, those savings are enabled largely by the combination of our two companies and the areas of focus he called out are not those that I just identified. Additionally, as John mentioned on his call, the $750 million of synergies excludes revenue synergies, synergies from automation, and incremental onshoring and offshoring. The restructuring is required given the opportunities for greater efficiency within our company and will allow us to become a part of the new Omnicom in the strongest possible position. In terms of 2025, with these strategic actions on costs, along with our usual strong operating discipline, we are targeting adjusted EBITDA margin of 16.6% under our expected organic revenue decrease of 1% to 2%. As we look ahead, we remain confident in the many fundamental areas of strength within our company and the enormous potential of our planned combination with Omnicom. I will come back with thoughts on the acquisition, but at this point, I would like to turn things over to Ellen for a more in-depth view of our results.
Ellen Johnson: Thank you. I hope that everyone is well. As a reminder, my remarks will track to the presentation slides that accompany our webcast. Beginning on Slide 2 of the presentation, our organic decrease of net revenue in the quarter was 1.8%. That brings our organic revenue growth for the year to 20 basis points. Adjusted EBITDA in the quarter was $591.2 million, and margin on net revenue was 24.3%. Adjustments exclude the amortization of acquired intangibles and a $9.3 million of deal expenses and SG&A related to our acquisition by Omnicom. For the full year, our adjusted margin was 16.6%. Our diluted earnings per share in the quarter was $0.92 as reported and $1.11 as adjusted. Below the line, we have adjusted for nonoperating losses from both the disposition of nonstrategic businesses and assets held for sale. Our adjusted diluted EPS was $2.77 for the full year. We concluded the year in a strong financial position with $2.2 billion of cash on the balance sheet and with only 1.7x gross financial debt to EBITDA as defined in our credit facility. Our share repurchases during the year totaled 7.3 million shares, which returned $230 million to our shareholders in 2024. As Philippe noted earlier, we suspended our activity in the fourth quarter due to the planned acquisition by Omnicom. Turning to Slide 3, you will see our P&L for the quarter. I will cover revenue and operating expenses in detail in the slides that follow. Turning to fourth quarter and full year revenue on Slide 4. Our net revenue in the quarter was $2.43 billion, a decrease of 5.9% from a year ago. Compared to Q4 '23, the impact of the change in exchange rates was negative 50 basis points. The impact of net dispositions and assets held for sale was negative 3.6%. Our organic net revenue decrease was 1.8%, which brings us to organic growth of 20 basis points for the full year. Further down the slide, we break out segment net revenue performance. Our Media Data and Engagement Solutions segment decreased 60 basis points organically. Very strong growth at Acxiom was offset by continued decreases at MRM. Mediabrands decreased slightly in the quarter, less than 1% due to the significant impact of trailing account losses. Organic growth for the full year of this segment was 20 basis points. The organic decrease at our Integrated Advertising & Creativity Led Solutions segment was negative 4.7%. In large measure, performance reflects the decision of a single sizable client in the healthcare sector early in the year. We continue to have strong growth at Deutsche, and we had solid performance in the quarter at McCann, notably in the international markets. For the year, the segment decreased organically by 20 basis points. At our Specialized Communication & Experiential Solutions segment, organic growth was 1.3%. We had growth at Golin, in public relations and at Momentum and Octagon in experiential offerings, which were more than offset by softness elsewhere in the segment. For the year, the SC&E segment grew 1.3% organically. Moving on to Slide 5, our revenue growth by region in the quarter. The U.S., which was 60% of our fourth quarter net revenue, decreased 3.2% organically, reflecting the impact of certain accounts lost in late '23 and during 2024 be weighed on our growth broadly across our domestic operations. International markets were 40% of our net revenue in the quarter and increased 30 basis points organically. In the U.K., 9% of our -- which was 9% of our revenue in the quarter, the organic decrease was 3.3%. Growth at Acxiom and Golin was more than offset by decreases elsewhere in the portfolio. Continental Europe was 10% of our net revenue in the quarter and decreased 3% organically, which was against 11.7% growth a year ago. Declines in regional spending by global clients weighed on performance with the results notably soft in Germany and France. In Asia Pac, which was 8% of net revenue in the quarter, our organic decrease was 7.9%. The loss of certain global accounts weighed on results across the region. In LatAm, which was 6% of net revenue in the quarter, we grew 10.4% organically on top of 15% a year ago. Our strong growth was led by IPG Mediabrands and by market was led by Mexico, Argentina and Colombia. Our other international markets group, which consists of Canada, the Middle East and Africa, was 7% of net revenue in Q4 and grew 12.1% organically. Performance was due to strong growth in the Middle East where business rebounded from the impact of the events the year before. Moving on to Slide 6 and operating expenses in the quarter. Our fully adjusted EBITA margin in the quarter was 24.3%, which is the same level we attained in the fourth quarter of 2023. Our ratio of total salaries and related expenses improved 70 basis points to 58.7% compared with 59.4% in last year's fourth quarter. We have leveraged on base payroll and temporary labor, partially offset by higher expense for performance-based incentive programs due to the timing of accruals over the course of the year and increased severance expense. We ended the year with headcount of 53,300 which reflects an organic decrease of approximately 5% from a year ago and a total decrease of 7%, including our net business dispositions. Our office and other direct expense increased as a percent of net revenue by 20 basis points to 13.8%. Occupancy expense was flat as a percentage of net revenue, while all other office and other direct expense increased by 20 basis points, mainly due to higher levels of investment in technology. Our SG&A expense was 1.8% of net revenue, an increase of 90 basis points from a year ago due to $9.3 million of expenses related to the planned acquisition by Omnicom and strategic investments in senior enterprise talent and platform development. These expense ratios for the full year are available in the presentation appendix and reflect the same drivers that were at work in the fourth quarter. Strong leverage on salaries, offset by greater technology investments and increased strategic hiring in SG&A. Turning to Slide 7, we present detail on adjustments to our reported fourth quarter results in order to give you better transparency and a picture of comparable performance. This begins on the left-hand side with our reported results and steps through to adjusted EBITA and our adjusted diluted EPS. Our expense for the amortization of acquired intangibles in the second column was $20.4 million. The small restructuring reversal was $6.4 million. Deal Costs pertaining to the planned acquisition by Omnicom were $9.3 million. Below operating expenses our net loss due to assets held for sale and the sales of nonstrategic businesses was $57.8 million. At the foot of the slide, you can see the after-tax impact per diluted share of each of these adjustments, which produced fourth quarter diluted EPS as reported at $0.92 to adjusted earnings of $1.11 per diluted share. Slide 8 similarly depicts adjustments for the full year, again, for continuity and comparability, bridging diluted earnings per share as reported of $1.83 to our adjusted $2.77 per share. It is also worth noting that shown on this schedule, our adjusted effective tax rate for the full year was 25.2% which is in line with our expectations. On Slide [9] [ph], we turn to cash flow for the full year. Cash from operations was $1.06 billion and was $1.22 billion before changes in working capital. Our investing activities used $151.1 million, mainly for CapEx of $141.8 million. Our financing activities, used a billion dollars mainly as shown here, for dividends on common stock and the repayment of debt in April and repurchases of our shares. Our net decrease in cash for the year was $198.7 million. Slide 10 is the current portion of our balance sheet. We ended the year with $2.2 billion of cash and equivalents. Slide 11 depicts the maturities of our outstanding debt and our diversified maturity schedule. Total debt at year-end was $3 billion, and our next scheduled maturity is not until 2028. In summary, our strong financial discipline continues and the strength of our balance and liquidity needs that we remain well positioned, both financially and commercially. And with that, I'll turn it back to Philippe.
Philippe Krakowsky: Thanks, Ellen. As you have heard from us previously, until we have regulatory approvals, and the proposed combination with Omnicom is complete, we continue to be in market as an independent company. So I'll review the particulars of our performance as I would on any other quarterly call. An important announcement during Q4 related to the continued enhancement of Interact, the suite of integrated end-to-end technologies across our portfolio, and that is the latest evolution of our core technology infrastructure and marketing engine. This operating system integrates data flows across the consumer journey, from research and insights to creative ideation, production and commerce as well as powering media activation. Built and developed by our in-house product team, Interact represents many years of investing, refining and unifying core capabilities to ensure we can drive sustainable growth for our clients, whether in marketing or sales channels. And it is a foundational element of our go-to-market strategy, it is being used by a growing number of inter public companies on behalf of their clients. In the quarter, we also announced the planned acquisition of Intelligence Node, a leading e-commerce intelligence platform known for its data accuracy and global reach, specific to retail data. Intelligence Node's technology leverages AI to aggregate and analyze billions of data points across thousands of retail categories in over 30 global markets, delivering dynamic insights into consumer sentiment and a range of product attributes, including pricing, product availability and inventory levels as well as retail media. This move significantly enhances our existing commerce capabilities, providing clients with real-time intelligence to understand shopper trends, optimize performance in digital retail marketplaces and drive sales growth. In terms of operating unit level performance during 2024, IPG Mediabrands posted solid growth, and we saw a number of sizable new business wins to close the year. In the fourth quarter, Amgen and HelloFresh kept Mediabrands as their AOR and Volvo chose Initiative as its global media agency. The network also retained Unilever in LatAm and grew the business in Canada and MENA as part of that client's global media review. Mediahub was named AOR for Little Caesars and earlier this month, Alaska Air tapped UM as its U.S. media partner. Acxiom also posted good growth for the full year and in the quarter, which featured four large new business wins across industry sectors, including technology, financial services, healthcare and the public sector. These new engagements reflect Acxiom's expertise in leveraging first and third-party data to solve complex business challenges and helping clients maximize their own tech investments. We also consolidated all of IPG's Salesforce cloud services under Acxiom, which now offers clients consulting implementation and operational services across the full suite of Salesforce clouds, as part of IPG's centralized platform services. IPG Health continued to be the best-in-class creative network in its space, winning top honors at the MM&M Awards and the London International Awards. The network also expanded partnerships with clients -- certain key clients in the quarter, including AstraZeneca, Merck, Regeneron and Edwards Lifesciences. Our earned media solutions continue to evolve with leading offerings. Weber Shandwick launched a differentiated influencer offering that marries Acxiom data with cultural and commercial impact. And the company has added nearly a dozen new client assignments in the area using this tool and also won the Effie Award for the year's most effective influencer campaign for its work on behalf of Kellanova. During the quarter, Golin committed to being the first fully AI integrated PR agency by the end of this year. And over 80% of Golin's staff are now using AI as part of their daily workflows with more than 100 brands and clients benefiting from Golin's AI-assisted workforce. Our creative agencies continue to deliver powerful ideas that are winning in the marketplace for their clients. We have increasingly seen significant wins when we bring together creative, data and production with audience-led thinking and identity resolution powered by Interact. This includes Kimberly-Clark, which recently expanded its relationship with Interpublic as part of their global consolidation review process, with FCB as a lead agency and support from both MullenLowe and McCann. And this was the second sizable win for us with this integrated team and offering after the Kellanova consolidation last year. Notably, work from FCB for another such client, Budweiser, secured the #1 spot in the USA TODAY Ad Meter ranking for best commercial in this weekend's Super Bowl. Of course, given the requirements of sophisticated modern marketers, we have to not only maintain our commitment to great talent and tech-enabled capabilities but give thoughtful consideration to new structures and ways of working. As mentioned in my opening comments, Q4 saw us finalize plans for the organizational restructuring we will be undertaking this year. This program will include streamlining efficiencies within our agencies, centralization of a number of corporate functions, focus on greater offshoring and nearshoring, accelerating our progress on strategic centers of excellence in areas where platform services could benefit delivery and cost, such as production and analytics, as well as further improving our real estate footprint. These actions are necessary to ensure that a stand-alone IPG is in the strongest possible position despite our top line challenges. While some of the cost savings we generate will be invested in talent and technology capabilities in areas such as AI, identity resolution, content management platforms, commerce and data, the strategic restructuring and transformation will deliver savings in 2025 that position us to maintain margins this year and expand them going forward. These actions are independent of and importantly, complementary to our proposed combination with Omnicom, which will create the industry's most dynamic and well-resourced company. As I called out earlier, we believe there is limited overlap between the impact of these efforts and the synergies identified as a result of the proposed acquisition by Omnicom. Turning now to Slide 12. We outlined the full range of benefits that a combined Omnicom and Interpublic will deliver to our various stakeholders. For our clients and our people, expanded and enhanced products and services will mean significant value. Our combined operations will be positioned to offer clients multiple advantages that are unduplicated and superior to anything currently in market. They include media offerings that leverage an unparalleled scope and quality of investment data and technology. The proposed transaction will also enhance our collective commerce offerings and technology investments, bringing together specialized capabilities on both sides. In addition, our companies have highly complementary geographic footprints and a shared foundation of common values and culture. With respect to technology, the combined company will have exceptional identity resolution and commerce offerings based on a deeper understanding of consumers than any other provider. In terms of GenAI technologies, like some of our competitors at Interpublic, we have moved well beyond testing and are applying LLM and proprietary tools across media, creative, experiential agencies and other areas of our business. Together with Omnicom, we would be able to bring to market the combined resources of both companies, focusing our investment and then amplifying it against the larger platform. For clients, this means a foundation of compelling benefits, creating a seamless ecosystem where data, technology and creativity come together to drive innovation and deliver measurable business growth and outcomes against clearly defined KPIs. That is why we believe the differentiated offerings that will result from the combination will drive exceptional future revenue growth opportunities. I think it needs to be said, because there's been so much that has been said by others, who are not part of the proposed transaction, that our partners have been enthusiastic about our combination with Omnicom. Our client-facing colleagues within Interpublic, from those who create ideas to those who advise clients on their investment decisions to those who innovate with tech and data, they are all looking forward to the wider array of capabilities that we would be able to bring to marketers. Our teams appreciate that nobody in the industry has as comprehensive a solution as we will together with Omnicom. As you would expect, we have also spoken with our top clients. They see the benefits and understand that our partnerships and the value we can deliver for them will be meaningfully enhanced. So while we understand that our competitors are trying to disrupt what we are looking to build, it bears repeating that the integration will remain very focused and not get in the way of the services we deliver to clients every day. You have heard about the financial benefits both when we announced the deal and on Omnicom's call last week, from the revenue and cost synergies to the powerful balance sheet that will support capital return and accelerate innovation, to the accretive nature of the deal, it is a very compelling proposition. In terms of timing, the regulatory process is moving forward. We are progressing in the HSR review. And on February 10, we re-filed our HSR filing to continue that process, which is commonplace for transactions of this type. Foreign filing processes are also well underway and the special shareholder meetings to approve the transaction are scheduled for March 18. We continue to expect to close in the back half of this year. In the interim, as we have outlined for you today, we are taking steps to keep in our public competitively positioned for future success. Our strategic actions will bring us into the combination as the strongest possible company and will continue to build on our ability to deliver integrated client-focused services and solutions, and further align and extend key data and technology capabilities as well as remain true to our long-standing commitment to operational discipline and a strong underlying financial foundation. Thanks for your time today. And at this point, let us open the floor to your questions.
Operator: [Operator Instructions] Our first question is from David Karnovsky with JPMorgan.
David Karnovsky: Maybe just first with - on the underlying conditions, I think you noted improvement through last year, but maybe some incremental caution now due to the macro, especially in certain sectors. I wanted to see if you could expand on this a bit and also touch on tech where I think you said you returned to growth? And then second for Ellen, on the accelerated business transformation, the $250 million of net cost savings, can you help us understand that figure against the flat margin guide? What is actually realized this year versus items like severance that will show up in adjusted EBITA? And then is it reasonable to be extrapolating those savings out to, say, '26 with the implication that you would see a notable step-up in margin assuming steady revenue?
Philippe Krakowsky: On the revenue question, I mean, I think what I would just do is we have tried to give you a clear line of sight to the ups and downs of '25 and the degree to which just a number of those very large losses are weighing on the performance. So if you're looking at 4.5% to 5% of drag clearly, the underlying business is getting us back to the guide, not that we are happy that that has to be the guide. In terms of the fourth quarter, the runoff, certain of the accounts we mentioned was probably greater than expected. So cumulative way in Q4 of, again, just a few trailing losses was about 4% in the quarter. So all of that says to us that there is no new news, it is really timing. And then at a macro level, I think you heard us say towards the back half of the year that it looked as if people were [in the past] and beginning to really get -- with the reality that they needed to just start to make plans and invest in growth. There is one or two client categories or there is just -- you look at the degree to which there is some geopolitical macro that is uncertain. So I think it's just giving people kind of – it is just a slight downshift, it is nothing dramatic.
Ellen Johnson: Good morning, David. Thank you for your question. Regarding the business transformation and how it relates to the restructuring, I would say it is a continuation. All through 2024, we talked about how we were implementing common systems and standardizing our processes, which enables you to create centers of excellence. And a lot of what the restructuring is doing is doing just that, which is allowing us to be more efficient in the ways that we operate and more effective in the way we service our clients. And those are the types of things that we called out in prepared remark. As far as expenses and savings, we said we think the charges in '25 will equate approximately to the savings in the year, with more to come in future years, which would lead to expanded margins going forward.
Operator: Our next question is from Michael Nathanson with MoffettNathanson.
Michael Nathanson: It was notable that you called out Principal Media as a factor for some of the client losses. Can you talk a bit about your ability, if this deal is done, how quickly do you think you could integrate their Principal Media business with your Mediabrands? So that seems like a big opportunity on the top line to maybe fix some of the losses. So if you talk about like your thesis on why it was better to merge than to build at that point for Principal Media?
Philippe Krakowsky: Look, I mean I don't think that you would. I wouldn’t do, there are so many parts of and so many strategic benefits to the merger. So yes, for us in '24, our media business, which has been a very strong performer for a long time, ran into challenges, and that was an area that we felt was of concern. So to the extent that you got in our perspective, soon to be partner, a great deal of expertise in that regard and then presence because you heard from us that we felt good about the way in which we were able to build the Principal ourselves domestically, kind of in the U.S., the options we were getting from clients, the degree to which we were able to put together a very sophisticated contemporary service offering and products there. I think that marrying that up to connecting it given the fact that Omnicom is sophisticated in that regard that they do this well and they do this globally [Audio Dip] benefit. But I think that there is just so much more about what and how the companies fit together, there is so much as complementary. The opportunity is much greater than, which is not to say that this is not one of the opportunity areas.
Operator: Our next question is from Julien Roch with Barclays.
Julien Roch: My first question is in the proxy statement, you presented forecast where you have 110 basis point margin improvement in '26 and 100 basis point in '27, which is well above consensus. So can you confirm the forecast? And do you need more than the $250 million of savings you announced today to get there, i.e., get another round of cost-cutting next year, or with today's announcement, that is how you get to those margin improvement? That's my first question. The second one is, as you said that those savings you have announced today are largely independent from the $750 million. Kind of philosophically, if I take the -- to get the EBITA for the combined group, do I take what you have in the proxy statement forecast and just add $750 million to get combined EBITA? Because some clients are telling me that you will have some cost creep and I shouldn’t do it like that. And then the last one, both John and yourself have said that client facing would be absolutely fine, would be better because they have better tools one should combine and that the merger benefit were mostly merging the back office. But if you do that and you do not consolidate any brands, you will end up as a combined company with 8 global media agencies and 8 global creative agencies. Is that the right number?
Philippe Krakowsky: That’s an awful lot to wrap one's head around in the time that we have got. So I guess I will start with the modeling that you would have seen in the filings was [Audio Dip] and clearly, it reflects the work that we shared with you that we are doing now. You have seen us in the past and act programs like this, and you have seen that they lead to tangible success. The degree to which having gone through the exercise that led to the cost synergies around the acquisition, the merger with John and his management team, we do understand these to be -- there is very limited overlap there. And then you start asking questions about running a very sizable enterprise. And so the benefits of all of the things that John called out around these two large companies together, the corporate compensation, the corporate SG&A, clearly our present in market and vendor cost savings, shared services, things of that nature, they are very, very significant. Our people and our clients are responding very, very well because as I have said, and I laid it out, I think, in a fair amount of detail, they see that as our businesses continue to evolve, and the investment that needs to happen in technology, the fit that we have got from a geographic point of view, what Flywheel and Acxiom can do together, the strength that Omnicom has through Credera, on the [indiscernible], there are just many, many things that fit together to the point of, the answer to Michael's question. I think that -- sitting here now and kind of going to a kind of gee, how many brands, what is the optimal organizational structure, I think what I would just point out to you is direction of travel, and you used the word philosophically, we are very aligned with Omnicom in terms of the fact that we have a commitment to strong agency brands. We win with talent by giving them the opportunity to come into the company within the cultures of those brands and then that talent wins for us with clients. Clearly, at the holding company level, we pick the strongest agency providers and put them into the teams that solve for the client. And increasingly, you have heard us talk about how we combine like-for-like to create centers of excellence and how then that ties into the platform services. So I do not know that answering the question about, gee, how many events is the optimal number at this point is super productive. But I think that we will have – we will be able to go to clients and give them options and very strong options in every one of the capability areas that matter. And we have got very complementary capabilities. So again, the revenue "synergy" the revenue opportunity is meaningful, and we will sort out the flying formation, but I do not think we will do it the next 3 minutes on this call. But hopefully, that gives you line of sight. That was a lot of questions in a finite period of time, so I think I covered most of what you asked.
Julien Roch: No, you did that. Sorry for being too ambitious, but thank you for an excellent summary.
Operator: Our next question is from Jason Bazinet with Citi.
Jason Bazinet: I just had 1 quick follow-up on the $250 million of savings. Can you just talk a little bit more about the cost to achieve those? I was just a little bit confused when you called out the noncash component of those costs to achieve being significant?
Philippe Krakowsky: I think it is equivalent, as we said, and there will be some real estate, and there will be some degree to which we might also as we rationalize and standardize, to Ellen's point, some of our tech investments, we might be writing off an asset or 2 there, but nothing dramatic.
Jason Bazinet: There is nothing on the stock-based compensation side or anything, no?
Philippe Krakowsky: No.
Operator: Our next question is from Cameron McVeigh with Morgan Stanley.
Cameron McVeigh: Just curious how the healthcare is trending when you exclude the impact of recent account losses? And then secondly, when you think about giving CMO in a pitch, curious how if their priorities have shifted at all recently? And is principal-based media buying, is that the most important capability now to win or retain new business? Or how are you thinking about that?
Philippe Krakowsky: Sure. Healthcare, independent of that one sizable swing. We see healthcare as growing this year. And as you know, it is one of our large sort of operating units. It is a modicum of -- I mean, I think everybody, whatever it has been 4, 5, 6 months, so was asking questions around that, and we were clearly giving you line of sight into. We have got every channel covered. We have got very, very deep subject matter expertise. And so if the playing field changes, all of those clients are still going to need to be in market. They are still going to need to be reaching not just consumers, but all of the other participants in the healthcare ecosystem, whether that is caregivers, whether that is doctors, whether that is so on and so forth. And so there will be some share shift in terms of how you reach them and that might have an impact on the media owner side, but we were clear that we did not see that as a meaningful concern sitting where we are. And then on the CMO question, I think that we have called that Principal because we built a media business that was very much about kind of consultative, highly database, sort of helping clients make the smartest possible investment decisions. That piece has come into the equation and for us is something we call out. I think it is important, clearly, but I think that you see the largest opportunities around media because that is where you have the fusion of technology, a lot of data. Clearly, now commerce is a very important part of this, and there is conspicuous strength in commerce on the Omnicom side, and we see a big opportunity connecting Flywheel and Acxiom. And you see some sizable integration opportunities like Kellanova or Kimberly-Clark for us in the last 6 months. So no, I think it is more sophisticated than that. But that clearly has become a part of the decision matrix.
Operator: And our last question comes from Craig Huber with Huber Research Partners.
Craig Huber: Philippe, I would like to hear a little bit more, if I could, about how 3 sectors are doing, the healthcare, technology and retail/e-commerce, maybe if you could give us how that organic growth reach or lack thereof did in the fourth quarter, maybe touch on your outlook for the new year for each of those?
Philippe Krakowsky: I mean, -- you are touching upon two in which we had these sizable losses, right? So obviously, we have talked a bit about the very big healthcare win that turned into a much smaller healthcare win for us and is impacting our results. The biggest media decision of the year last year was in the retail space. So as I said, I think independent of that one big swing item in health, we have healthcare growing this year, and it touches other parts of our world. You see healthcare clients in the media business. We have got – we have got a sizable healthcare practice on the PR side. Retail is just going to be muddied for us just because it is going to be the one very sizable loss there. And then tech and telco as mentioned, has come back and is now growing for us. So I think that, that probably covers it as best as I can. You are happening to pick two where we have got one very sizable item that's going to distort the result.
Craig Huber: Fair enough. Obviously, they are important sectors for you guys and elsewhere. Ellen, if I could just ask you a nitpick question, the $250 million of in-year 2025 cost savings, what is that on an annual basis as we exit 2024? Is that more like $350 million? How should we think about that, please?
Ellen Johnson: It's clearly going to be high. We do not have a full year of the benefit in 2025. And I would just reemphasize that it is incremental to the synergies that we have called out in relationship to Omnicom. I mean what we are really talking about here, as I mentioned, was creating centers of excellence, which also allows offering in nearshoring and just creating a lot more efficient operating structure, streamlining some of the operations at our agencies. So that should continue to benefit our margins. But again, very separate and apart from the deal synergies that we called out.
Craig Huber: And then, Philippe, if I could just squeeze in one more here before the market opens? I would love to hear from you the tone of business out there, putting aside the various losses that you have talked about here, how do you feel about the tone of business right now, the macro environment versus, say, a year ago right now? I mean what are your feedback from clients on that front?
Philippe Krakowsky: Well, I mean, as we said to you --, if you go all the way back to a year ago, there was a measure of caution and then as we move through 2024 [Indiscernible] meaningfully better, and we felt that people were leaning in towards the latter part of the year. And broadly speaking, I would say that that is still the case, but there are one or two big items that are pending in terms of the macro. But I think as we tried to call out in the remarks, we are seeing clients engaged. We are seeing fair bit of opportunity in terms of new business flow. There is some bigger than not opportunities. So it feels pretty solid, I would say. You are asking me, it's -- last year kind of had enough swing in it quarter-to-quarter. And when you say compared to last year, I do not want to say compared to what point in the year last year.
Craig Huber: Yes, I'm just trying to get a sense from you what you are hearing from your clients versus how they were feeling a year ago and by their spending levels for the upcoming year?
Philippe Krakowsky: Like I said, I mean it does vary sector to sector, you do not necessarily get the same read but it feels like, again, pending 1 or 2 kind of open macro items that are geopolitical, things are progressing. Appreciate the time today, and I look forward to speaking to you all again in April.
Operator: Thank you. This concludes today's conference. You may disconnect at this time.